Operator: Good day, ladies and gentlemen, and welcome to the Ichor’s First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today’s call, Claire McAdams, Investor Relations for Ichor. Please go ahead.
Claire McAdams: Thanks, Michell. Good afternoon, and thank you for joining today’s first quarter 2022 conference call. As you read our earnings press release and as you listen to this conference call, please recognize that, both contain Forward-Looking Statements within the meaning of the federal securities laws. These forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control and which could cause actual results to differ materially from such statements. These risks and uncertainties include those spelled out in our earnings press release, those described in our annual report on Form 10-K for fiscal 2021 and those described in subsequent filings with the SEC. You should consider all forward-looking statements in light of those and other risks and uncertainties. Additionally, we will be providing certain non-GAAP financial measures during this conference call. Our earnings press release and the financial supplement posted to our IR website, each provide a reconciliation of these non-GAAP financial measures to their most comparable GAAP financial measures. On the call with me today are Jeff Andreson, our CEO; and Larry Sparks, our CFO. Jeff will begin with an update on our business and a review of our results and outlook, and then Larry will provide additional details of our first quarter results and second quarter guidance. After their prepared remarks, we will open the line for questions. I will now turn over the call to Jeff Andreson. Jeff.
Jeffrey Andreson: Thank you, Clair, and welcome to our Q1 earnings call. Q1 revenues were $293 million within our guidance range and grew sequentially from Q4. The $7 million or 2% difference compared to the midpoint of guidance was chiefly the result of additional disruptions in the supply chain that emerged since our last earnings call. At the time of our last call, we have also had expected that the availability of some key components would improve by mid quarter and these did not materialize. Additionally, we had to manage through some key shortages that emerged in our machining business. While we now have these shortages largely behind us, this had an impact on our machining, revenue mix in Q1. Both factors are indicative of the continued volatile dynamics in our industry supply chain, where we, like many others in the industry continue to forecast for improvement in support of the unabated customer demand. Yet new issues have arisen each quarter that cannot be predicted, including the recent example of the closures of all shipping ports in and out of Shanghai that affected many of us since late March, freight, logistics, factory shutdowns and the costs as well as the availability of labor, I will continue to be a headwind to outputs and costs. At the same time, we are working to increase capacity across our footprint, which includes adding to our manufacturing headcount, as well as our physical capacity. We are nearing the completion of our clean room expansion in Austin, which adds to the clean room expansion we completed in Singapore last year. Additionally, we have added a second building to our machining facility in Mexico and are in the process of ramping their output. Given the continued expectations for strong customer demand, and for wafer fab equipment growing to the $100 billion level, we made the decision to keep hiring to a level we needed to support the unconstrained demand, with the goal of having both the flexibility to burst within the quarter and to ramp the business as the availability of components and materials improves. Our decision to maintain our plans for a higher level of resources to support customer demand, along with a less favorable mix of machining revenues in the quarter resulted in gross margin and earnings below guidance. However, we fully expect our margins will recover over the next couple of quarters. We expect Q1 to be at a low point for gross margin and EPS performance in 2022, and our forecasting improving trends on both fronts. As we continue to expect we will be able to achieve sequential revenue growth each quarter of 2022 and into 2023. The expectation for growth does not depend on significant changes in the availability of component and material supply versus what we see today. As we are planning for some of the key component constraints to continue into the second half of the year, some of the shortages in Q1 have improved and we are shipping at a higher level quarter-to-date compared to this time last quarter. We will continue to manage these ongoing and unpredictable supply chain challenges to drive increased output as we move through the year, as well as align with our customers to support their deliveries. With our current visibility and the improved shipment levels we are achieving recently. We are forecasting Q2 revenues to be up around 5% to 6% sequentially. With our revenue output expected to increase sequentially through the forthcoming quarters. We believe our revenue growth will compare favorably to overall WFE growth this year. And the level of outperformance versus WFE will also depend on which segments of WFE are able to ramp the fastest in the second half. Also, driving our growth this year will be the addition of IMG, which is still on track to contribute $70 million to $80 million of revenue for the full-year along with increased demand from our customers. The added visibility brought upon by the tight supply conditions bodes well for the longevity of the current demand cycle, with our customers planning for continued growth into 2023. Now, I will provide a brief update on the progress on some of the new products and in particular, the next generation gas panel and chemical delivery systems. For our next generation gas panel following up on the first beta unit that is currently in evaluation with a new customer. We are now preparing to ship a second beta unit this quarter to an existing customer for an application that is expected to outgrow the WFE market over the next several years. Both of these gas panel beta units are fully configured with core content. We would expect both of these customer evaluations to extend up to a year particularly given the engineering efforts that are assigned to qualifying new suppliers to address the supply chain challenges in the industry. We remain confident and highly encouraged by the progress we are making with our customers for these proprietary gas delivery systems. In our chemical delivery business, we have two evaluations underway within North American customer. One evaluation unit shipped late last year and another was delivered early in Q1. We continue to work with these customers as we move through the next phases of the evaluation for both programs, which are now progressing in tandem and are expected to complete in early 2023. As we have noted in the past, Japan is the largest market for chemical delivery systems. We continue to expect first production orders from the initial Japanese customer this quarter. The scale of this is relatively small, but it is an important step in penetrating the Japanese market. We are now able to travel to Japan with our technical resources and are continuing to quote opportunities at other OEMs that are larger in scale. In summary, in a very challenging operating environment, the operations team is doing a very good job of maximizing output to address the customer demand we are experiencing and with our current visibility, we are expecting to report sequential growth and record setting revenues for the next several quarters. We are also driving a recovery and positive gross margin momentum. We have been reporting for the last few years. We achieved a significant improvement since 2019 and in Q4, we reported gross margins 330 basis points higher than where we were just two years ago. The setback in Q1 was a temporary one. Due to the investments we are making in headcount to support future growth, as well as the additional inflationary costs and less favorable product mix resulting from the latest supply chain disruptions. We are focused on driving increased earnings leverage on the revenue growth forecast for the forthcoming quarters. Prior to handing the call over to Larry to discuss our financial performance and outlook, I would like to personally thank Kevin Candy, who recently moved into a strategic role reporting to me for his contributions to Ichor over the past nearly five-years since joining us in Q3 of 2017. He was instrumental in managing our operations over this significant growth period in the industry. Paul Chopra joins us a month-ago as our new CEO. Paul brings a wealth of experience to the role. For the last four years he was Vice President of Global Product Supply of Franklin Electric. And prior to that, Paul was Vice President Global Supply Chain for the semiconductor division of Applied Materials. And with that, I will now turn the call over to Larry. Larry.
Larry Sparks: Thanks Jeff. First, I would like to remind you that the P&L metrics discussed today are non-GAAP measures. These measures exclude the impact of share-based compensation, expense, amortization of acquired intangible assets, non-recurring charges and discrete tax items and adjustments. There is a very helpful schedule summarizing our GAAP and non-GAAP financial results, including the individual line items for non-GAAP operating expenses, such as R&D and SG&A in the investor section of our website for reference during this conference call. First quarter revenues were $293 million, up 2% from Q4 and 11% higher than Q1 of last year. Q1 revenues included $19 million of contribution from IMG for the full quarter, compared to $7 million for the partial quarter of contribution in Q4. While Q1 revenues came in relatively well compared to expectations a quarter-ago, the increasing cost and component supply issues faced in the quarter, at the same time, as we ramped hiring, impacted our gross margin. Q1 gross margin was 16%, down 110 basis points from Q4, compared to the 80 basis point improvement expected in our prior forecast. The total impact on gross profit was approximately $6 million, about half of this amount was associated with higher costs of direct manufacturing labor. The other half was pretty evenly affected by three factors. First, product mix; Second, increased freight and logistics costs; And third, higher indirect factory costs such as supplies and utilities. Q1 operating expenses were $22.4 million, $1 million above forecast, primarily driven by a higher than forecast fees related to audit and SOX compliance, ERP implementation as well as increased investments in R&D, given the progress we are making with our new gas delivery products. The resulting operating margin was 8.4%. As expected, interest expense for Q1 was $1.5 million and our tax rate was slightly lower than forecasts at 12.1%. The resulting earnings per share were $0.70 for Q1. Now I will turn to the balance sheet. Like many others in the industry, cash conversion of working capital was unfavorable in the quarter, with supply and output still constrained in the current environment, inventory increased in support of customer demand. Accounts receivable also increased due to the timing of shipments weighted heavily to the end of the quarter, while our payments to suppliers increased driving payables down. Going forward, we expect these working capital investments will translate to strong free cash flow generations for quarters ahead. Now I will turn to our second quarter guidance. With revenue guidance in the range of $290 million to $330 million, our Q2 earnings guidance is $0.68 to $0.94 per share. We are expecting a 30 to 100 basis point improvement in gross margin for Q2 compared to Q1. Our Q2 operating expense forecast is approximately $23 million, consistent with prior expectations that our quarterly OpEx run rate would be moving up a bit with incremental investments in R&D, supporting our new product development programs for our new gas distribution products, some additional investment in IMG infrastructure costs, higher costs associated with our new ERP system and overall investments supporting company growth. We expect our interest expense will be approximately $1.7 million in the second quarter, reflecting the recently announced increases in interest rates. Our tax rate in Q2 is expected to be approximately 13% and we estimate our fully diluted share count to be approximately 29.1 million. Finally, we continue to expect CapEx to be around 3% of revenues for 2022, which reflects the higher levels of investment required to support our machining business. We expect to deliver improving free cash flow performance as we move through 2022. Operator, we are now ready to take questions. Please open the line.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Quinn Bolton with Needham & Company. Please proceed with your question.
Quinn Bolton: Hey guys. Two questions first, just on the sort of annual outlook, if you are looking for sequential growth through the year. You commented in the prepared comments, I believe that you felt you could grow faster than WFE this year. And I’m wondering if you back out the IMG revenue, do you still think the core business can grow faster than WFE given all of the constraints you are facing here, at least in the first half of the year?
Jeffrey Andreson: Quinn that is a really good question. So the answer is I do think we can grow faster than the segments that we largely addressed up in EDGE, as you know. And I think when you look at some of those outlooks now those are little muted versus the total WFE. But I think we can outgrow with IMG outgrow WFE certainly.
Quinn Bolton: Great. The second question is just on the gross margin, I think prior models probably had you at or above 18% by the end of the year. I know you are facing some near-term cost pressures, increased staffing levels, and kind of an adverse mix. But do you think you can get back towards 18% activity this year? Do you think that some of these higher costs, especially on the hiring side, won’t get absorbed fully in the model until sometime in 2023?
Larry Sparks: I think we expect that sometime by the end of the year, we should be back on 18%. I mean, we definitely have the headwinds with labor and some of the freight costs as you mentioned, but we are confident that we will get back on track to that range.
Jeffrey Andreson: Also you know Quinn, we are making the assumption that we are going to grow quarter-over-quarter sequentially. And so we are going to grow into the infrastructure and the flow through will get us there and then we will see the mix recover in the machining business that we saw decline a little bit this quarter. And so we have strong confidence we will be back there by the second half of the year, depending on how fast we recover, but certainly by Q4.
Quinn Bolton: Got it. Thank you.
Jeffrey Andreson: You bet.
Operator: Thank you. Our next question comes from the line of Craig Ellis with B. Riley Securities. Please proceed with your question.
Craig Ellis: Yes. Thanks for taking the question. The first is a clarification on revenue, the seven million variance that was mentioned for the first quarter. Was that all related to issues that were internal the Ichor or was some of that just Ichor being unable to ship due to component issues elsewhere that had customers having a Ichor pull back product?
Jeffrey Andreson: Yes, I think the largest factor was kind of driven by component shortages in our supply base that didn’t allow us to build as much as we want. So that really affected the integration business. But we also had a lower than expected machining output this quarter, because we had to deal with some delayed raw material.  We have gotten that all behind us now and we will catch up on that demand. So none of that, I would say none of that Delta to our midpoint is perishable demand, it is all going to get fulfilled this quarter.
Craig Ellis: Got it. And the second question is related to some of the comments on hiring. And I think there were comments both in COGS and OpEx. So maybe you can clarify. But the question is this, it seems like there is a much greater emphasis on hiring and the level of hiring in the near-term than what we had heard of late. So are there things that are happening either with the current environment or just given different product programs or other issues that would be an OpEx that is causing an increase and how do we think about where productivity is in the COGS line and in OpEx relative to where it is been applied?
Jeffrey Andreson: Yes, I will start and then I will hand OpEx over to Larry. But you know, what we did is we did not take our foot off the gas for hiring, hiring was, as you know, we have all talked about how difficult it is. So we wanted to have the people in place, as I talked about on my prepared remarks about being able to burst and also kind of ramp. I would say, we will see very little need for incremental headcount as we go through the year. And the faster things recover, the quicker we can grow our revenue. So I think from a COGS perspective, we are going, we were pretty comfortable that we have quite a lot of resources that can address growing demand as we look over the next two to three quarters, for sure. And so that is a decision that I made, because, as we have talked about hiring stuff, I think it is the right thing to do for the industry, our customers, in particular, to make sure that we can burst because supply constraints make it very difficult to be linear in your manufacturing, so you are going to have to burst to get as close as we did to the midpoint, for example, we burst it pretty heavily in the last month of the quarter.
Larry Sparks: And I think just to add on, on the OpEx side, most of the increase in OpEx was not directly labor related, there was a little bit of a labor but on R&D materials, we brought in, I would say significantly more than we expected to address some of the new products that Jeff mentioned. And then we did have some higher costs around our SOX compliance audit and a few things around IT, as we kind of work through the implementation of few of the sites on our new Oracle cloud system. So in general, most of what we are seeing there, we do have, as you go forward into the balance of the year, this quarter, we do have our annual merit that does directly affect labor costs, but, and we are seeing some pressure on labor, just general competitiveness in the marketplace, but most of it is related to R&D investments and investments in IT and things that we have mentioned before.
Craig Ellis: Got it Larry, and I missed what you said about the guidance prospects in the second quarter. Can you repeat that. And then from the second quarter, what should investor expectations be about the trajectory of OpEx in the back half of the year?
Larry Sparks: We are looking at around $23 million in Q2. And then I think, moving beyond that, probably a couple hundred thousands a quarter as we kind of go through it. It will be dependent on some of the speed of the R&D activities, which today look very promising, but I think that is a reasonable amount to model.
Craig Ellis: Got it. Thanks guys.
Jeffrey Andreson: Thanks Craig.
Operator: Thank you. Our next question comes from the line of Patrick Ho with Stifel. Please proceed with your question. Patrick, can you please check to see if your line is on mute?
Patrick Ho: Sorry about that. Jeff given the current environment, and obviously there are a lot of moving pieces, but you are probably working a lot with your customers in terms of redesigning components, you talked about some of the integration work. Can you just give a little more color or granularity on those type of efforts, and when you think some of those can begin paying off, especially given that the supply constraints and that environment has not really improved over the last few quarters?
Jeffrey Andreson: Yes. We don’t have a hundred percent design control as you know, on the build to print gas panel business. So, but, we do work with our customers to find and help them find as they help us find alternative supplies for some of our components that just aren’t scaling. And so, there is a lot of effort going on, I would say in the industry to look for new sources of supply where we can. Obviously, some things are very difficult to change, because if they affect process in a chamber, it just becomes critically more difficult. But, we are putting efforts into that as well as our customers and working with them individually in areas that we think we can work together on and address. There are some things that are designed and the their customers actually select the suppliers. And so, with those, we are just working with those suppliers on how we can help with, supply constraints or our customers are getting involved as well. If they are semiconductor based, you get, you know our customers are trying to influence the amount of supply they can get, along the way.
Patrick Ho: Great. That is helpful. Maybe as my follow-up question for Larry. Again, a lot of moving parts. I understand it is really a challenge right now. But for the June quarter, what is the biggest issue that you are facing? Is it the supply constraints? Is it labor constraints? What is the biggest issue? And then maybe secondly, what is the quote quantifiable impact on the gross margin line? Is it several hundred basis points or less?
Larry Sparks: Well, I think the first one is the supply chain, obviously is impacting us because it is impacting output. And I think, we have, as you know very strong customer demand and we are driving as hard as we can and spending for whatever money that is available to us here to get the output. I think if you look at, we are showing, if you take the midpoint 65-ish basis point improvement in margin, that is primarily driven by some volume leverage, as we get some more volume expectation up and also, we expect our machining business will do a little bit better than it did last quarter as we get through some of the supply chain issues that we had. I think, you look at impacts around freight and logistics, those have continued to get a little bit worse than what we had historically. You can wrap those all up in the, what we used to call COVID impacts. We talked about 50 basis points, I would say it is closer to probably 100 basis points may be a little bit less than that. But it is significant. We are seeing that inflationary pressures on gases, on utilities beyond just labor and other things we are kind of used to as we go through the last couple of years. There has been a few new ones that have popped up. But I would say that is probably to quantify it, to give you an idea that is what we said. And then our expectation is, as we mentioned, as we get into the second half of the year, is that get back up to the 80% level of where we expect to be as these things hopefully wane as we go forward.
Jeffrey Andreson: I think if you were to ask me 90 days ago, we were still seeing some headwinds in our supply chain to get hiring done. I think they have - that has improved, it is not perfect, just everyone is still has some level of struggling on hiring. But largely, the components supply are going to be the things that probably affect us more than anything, and we are seeing improvements. They are just not great improvements at this point of time.
Patrick Ho: Great. thank you very much.
Jeffrey Andreson: Thanks Patrick.
Operator: Thank you. Our next question comes from the line of Tom Diffely with D.A. Davidson. Please proceed with your question.
Tom Diffely: Yes. Good afternoon, thanks or the question. So I guess first, Jeff, when you look at the hiring, is it focused on one particular region like Malaysia or is it have a global increase in capacity to handle that burst?
Jeffrey Andreson: It is global. We have got hiring going on in every location that we have. In certain areas, it is easier to hire than in the U.S. so how outside of the U.S., Malaysia is one of the places where we get much quicker access to incremental resources. So those flex up pretty well. Singapore is a little bit tight. So all of those reasons is why we didn’t take our foot off the gas and obviously in the U.S. people are coming back to work.
Tom Diffely: Okay. So when you look at the future or the plan to have enough people to handle some burst capacity from time-to-time. Does that change your long-term view of what the staffing should be on a permanent bases where it is going to be a higher percentage of the Congress going forward?
Jeffrey Andreson: Yes. That is a really good question. I guess my initial reaction is no, I think we have always carried bursts. But we have never been this far behind demand. Everybody is chasing demand. We were - if you kind of looked at our last month, it would equate it to a revenue level much above what we actually achieved. So as I talked about, I think we have enough capacity to kind of burst into when supply chain recovers, if it is spotty, as well as kind of support the outlook we see for the remainder of the year with what we have done in hiring today.
Tom Diffely: Okay, that is helpful. And then when you look at the supply chain issues, is there some way to quantify how much that was driven by either direct or indirect impacts of shutdowns in China?
Jeffrey Andreson: Yes. What affected us in China, we were - we had a few suppliers that got shut down for the first kind of the four to seven days, given our inventory positions we were in pretty good position in those particular ones. But what happened is, is it was difficult to get things transported. So if you had suppliers that were outside the shutdown lines, but as you get into Shanghai, for example, we had to find other ports. So we actually - it was kind of a cost headwind, as Larry talked about. You know, we had to air freight things out of airports that were open, we had to truck things much, much further to get the ports that could go and so most of what we saw was a little bit slow deliveries, but the effect of it I think, is something we can handle. We are not seeing a huge effect. It did have a small effect, though, on the early part of this quarter, I would say last quarter, not much other than the cost headwinds to get the inventory in.
Tom Diffely: Okay. The last question, when you look at your gas panel 2.0, it sounds like you are the first ones were a couple of very specific applications, but when you look forward over the next couple years, is this a gas panel that conserve a vast majority of gas panel needs out there or is this going to be kind of siloed into certain applications?
Jeffrey Andreson: No, it will be able to address a wide range of applications and flow rates. I think, as Larry talked about some incremental investments in R&D, we are - the first ones are pretty specific. We know, you know, the flow rates, but there is a broader range that we can address. And those are some of the things that we are still investing in finishing up. So when we can get through this out, they will be able to address a very wide range of applications, particularly at the [agenda] (Ph) of applications primarily.
Tom Diffely: Yes. Okay, great. Thank you.
Jeffrey Andreson: Thanks Tom.
Operator: Thank you. Our next question comes from the line of Krish Sankar with Cowen. Please proceed with your question.
Unidentified Analyst: Hi, this is [Robert] on behalf of Krish, thanks for taking my questions. First, could you break out the quarterly sales from the IMG business? And then for the year, you reiterated around the 80 million revenue level with 100 basis points gross margin 40 out margin benefit for the year, is that still the correct way to think about the business.
Jeffrey Andreson: Yes. I didn’t, you broke up a little bit on the first one. If you are asking this quarter, as we mentioned, IMG was 19 million in revenue. If you look at the expectation we had for the year, 70 million, 80 million, we are still holding with that if you look at their overall profitability for that business, they are meeting our expectations. So most of the issues that we are facing today are really in the core business or the business that we had prior to adding IMG.
Unidentified Analyst: Okay, thanks that is helpful. And then do you have any sort of progress on the manufacturing capacity there, if there is any sort of tightness and components that you can manufacture. I think you mentioned that E-Beam welding previously, but no, that is more of a second time for this new thing or long-term?
Larry Sparks: Yes. The IMG has capacity that we can utilize to help support some of some of the supply that we supply ourselves internally as well that we need in some of the Weldment sub assemblies that we do. So we are working on that in the E-Beam welding as we speak. So those are things that I would think by midyear will be consulted for we will have ready to go. So there is a qualification for both of those. But yes, we are still tracking to that. I will call it in synergy.
Unidentified Analyst: Great. Thank you. And that is all for me.
Jeffrey Andreson: Thanks Robert.
Operator: Thank you. We have reached the end of our question and answer session. I would like to turn the call back over to Mr. Andreson for any closing remarks.
Jeffrey Andreson: Thank you for joining us on our call this quarter. I would like to thank our employees, suppliers and customers for their ongoing dedication and support as we continue to execute against this historically strong demand environment for our industry. Our upcoming investor activities include a Virtual Roadshow with D.A. Davidson next week, the B. Riley Growth Conference later this month, the Cowen Tech Conference on June 1st and the CEO Summit at SEMICON on July 13th. We also look forward to our next earnings call scheduled for early August. Operator, that concludes our call.
Operator: Thank you. This concludes today’s cell teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.